Operator: Welcome to today's Pacific Basin 2025 Interim Results Announcement Conference Call. I am pleased to present Chief Executive Officer, Mr. Martin Fruergaard; and Chief Financial Officer, Mr. Jimmy Ng. [Operator Instructions] Mr. Fruergaard, please begin.
Martin Fruergaard: Thank you. Yes. Welcome, ladies and gentlemen, and thank you for attending Pacific Basin's 2025 Interim Results Earnings Call. As you know, my name is Martin Fruergaard, CEO of Pacific Basin, and I'm joined by our CFO, Jimmy Ng. Assuming that you have already gone through the presentations, we will highlight key points discussed in it before we proceed to Q&A session. Please turn to Slide 3. In the first half of 2025, we generated an EBITDA of USD 122 million, an underlying profit of $22 million and a net profit of $26 million. This yielded a 3% annualized return on equity and a basic earnings per share of HKD 0.039. Our core business contributed USD 51 million before overheads compared to $77 million in 2024, while our operating activity contribution increased to $10 million from $8 million in the same period last year. Our net cash increased to $66 million, and our available committed liquidity stands at $550 million. Our new 7-year revolving credit facility of $250 million signed in July significantly increases our available liquidity, strengthen our financial capacity and supports our growth strategy. The Board has declared an interim dividend of HKD 0.16 per share, which amounts to $10.4 million or 50% of our net profit for the period, excluding vessel disposal gains, consistent with our distribution policy. Please turn to Slide 4. Since 2021, we have maintained our commitment to returning to shareholders through both dividends and share buybacks. During this 5-year period, we have generated profits of about HKD 1.8 billion and distributed around HKD 1.2 billion through dividends and share buybacks, representing about 68% of total net profit before gains from vessels disposals. In our 2024 annual results announcement, we announced a new 2025 share buyback program of up to $40 million. Since then, we have spent $21 million to buy back and cancel about 93 million shares, equal to 1.8% of our share capital. Following our exercise redemption option for the convertible bonds, the remaining outstanding bonds have been either converted or will be redeemed before 14th of August. Combining the interim dividend and share buyback activity in the year-to-date, we are paying out 153% of our net profit for the first half of 2025, excluding vessel disposal gains. Please turn to Slide 5. First half average market spot freight rates for Handysize and Supramax vessel decreased 21% and 34% year- on-year to $8,690 and $8,750 net per day, respectively, primarily because of weak Chinese dry bulk demand, especially for coal and grains due to high inventory level and a stockpiling activity in 2024. However, the market has strengthened significantly since June, driven by congestion in especially South Atlantic ports as well as recovery in iron ore volumes and Brazilian soybean exports, resulting in a 23% and a 50% increase in Handysize and Supramax spot freight rates since the start of the year. Current forward freight agreements or FFA rates point to a stable freight rate outlook for the rest of 2025. Please turn to Slide 6. Our core business generated average daily TCE earnings of $11,010 for Handysize and $12,230 for Supramax, down 7% and 11%, respectively, year-on-year. The TCE represents a notable outperformance over average spot market rates, which fell 21% and 34%, respectively. For the third quarter of 2025, we have currently covered 87% and 89% of our committed vessel days and $13,950 per day, while for the fourth quarter, we have 26% and 43% covered at $10,890 and $12,490 net per day. We will continue to balance our spot market exposure and cover according to anticipated market developments in order to maximize our earnings for the balance of 2025 and especially into 2026. Please turn to Slide 7. We outperformed the market indices in the first half of 2025 by a significant $2,320 or 27% per day for Handysize and $3,480 or 40% per day for Supramax. Although the benefits of scrubbers installed on our core Supramax fleet decreased due to narrowing spread between high sulfur fuel oil and low sulfur fuel oil, they still added $210 per day to our outperformance during first half of 2025. Our operating activity margins increased by 29% year-on-year to $710 per day, while our operating activity days remained steady at $14,200. We aim to sustain the scale of our operating activity business and to maintain its robust margins and maximize its contribution to our overall results. Please turn to Slide 8. Handysize daily core vessel costs were generally stable in first half of 2025. Operating expenses rose slightly, primarily due to increased manning costs on certain older vessels and higher depreciation as a result of dry docking and fuel efficiency investments. Finance costs declined, reflecting lower borrowing levels and reduced interest rates. The cost of long-term chartered vessels remained largely unchanged with only one long-term chartered-in vessel moved to our own fleet after we exercised its purchase option. Our vessel cost overall remains sector-leading with our own fleet cash breakeven before G&A being $4,760 per day, up just $50 per day from the end of 2024. Please turn to Slide 9. Our Supramax daily core vessel costs declined mainly due to lower long-term charter costs, which reduced to $14,120 per day. Operating expenses also reduced due to lower exchange rates for procuring spares and parts and lower scrubber maintenance costs. As a result, our Supramax blended daily vessel costs reduced from $9,650 to $9,200 per day and our owned fleet cash breakeven before G&A reduced with $240 to $4,890 per day. I will now hand you over to our CFO, Jimmy Ng, who will present our financial results.
Chi Kit Ng: Thank you very much, Martin, and good evening, ladies and gentlemen. Please turn to Slide 11 for an overview of our profit and loss statement and financial performance. Our top line decreased by 21% due to reductions in Handysize and Supramax freight rates, which were down 21% and 34%, respectively, in the first half of 2025. Our owned vessel costs decreased by 4% and chartered vessel costs decreased by 29%, in line with the weaker freight market. As a result, our operating performance before overheads fell 28% to $62 million, and our net profit fell 56% to $26 million. That is despite of a marginal increase in G&A, primarily due to the foreign exchange gains from our Japanese yen deposits earmarked for vessel purchases and additional $5 million net gains from the disposal of 5 older vessels. Please turn to Slide 12. Our financial position was further strengthened in the first half of 2025 with $550 million of available committed liquidity at period end. That was mainly driven by an increase in cash and deposits, supported by solid cash generation and vessel disposals in line with our fleet renewal strategy. Our operating cash flow for the period increased by 1% year-on-year to $104 million, and we realized $42 million from the sale of 3 Handysize and 2 Supramax vessels with an average age of 21 years. Our CapEx was efficiently managed at $41 million which included $20 million related to the full payment of one Handysize vessel delivered into our fleet in the first half and also the deposit payment for another Handysize vessel delivered into our fleet in July. The total CapEx of $41 million also included $22 million for dry docking and other additions. During the first half of 2025, we distributed $33 million in dividends and spent $21 million to repurchase and canceled 93 million shares under the 2025 share buyback program. In the meantime, our borrowings have decreased by $31 million over the past 6 months. Please turn to Slide 13. As at 30 of June 2025, our balance sheet demonstrated continued strength with net cash rising to $66 million compared to $20 million at the end of 2024. The total net book value of our owned vessels was $1.6 billion, while their estimated market value remained relatively resilient at $1.8 billion despite the weaker freight market in the first half of 2025. To extend our funding profile and maximize optionality in our fleet growth and renewal strategy, we announced a $250 million syndicated sustainability-linked 7-year revolving credit facility secured against 20 vessels. This facility will further increase our available liquidity and support our pursuit of strategic growth and increased shareholder value. I will now hand you back to Martin for his slides on market and strategy.
Martin Fruergaard: Thank you, Jimmy. Please turn to Slide 15. In the first half of 2025, global dry bulk loading volumes declined by 3% compared to the previous year, primarily due to reduced Chinese imports of major commodities following heavy stockpiling in 2024. Grain loadings decreased by 13% year-on-year as volumes into China dropped 36% year-on-year due to elevated inventory level and record domestic harvest, but China's ongoing demand for soybeans and Brazil's record soybean crop offered some support to the market. Coal loadings were down by 7% year-on-year due to reduced demand from key importers such as China and India. Since China met its target of coal inventory buildup and domestic coal production and overland import from Mongolia rose, Chinese seaborne imports fell 19%. This reduction was partially offset by the growth in volumes into other Asian countries such as Vietnam and Bangladesh, which saw 15% and 41% increase in coal loadings. Iron ore loadings also dropped 4% year-on-year, primarily due to high stockpiling -- high stockpiles in China and continued subdued steel demand resulting from the ongoing slump in Chinese property market. However, volumes are anticipated to rebound due to post disruption catch-up in Australia, the softer U.S. dollar and potential further stimulus in China, while the Simandou project in Guinea is expected to start exporting high-grade iron ore starting from this November. Meanwhile, minor bulk loadings increased 3% in the first half of 2025, driven predominantly by bauxite and construction material. Bauxite trades from Guinea to China ramped up with Chinese imports totaling 80 million tonnes during the period compared to 56 million tonnes in the first half of 2024. Cement and clinker volumes rebounded after a depressed first half of 2024, led by developing economies. Additionally, Chinese steel export rose 9% year-on-year in the first half of 2025 despite steel production slowing 3% year-on-year in the period. Increased fertilizer trade also contributed to growth for minor bulk. Please turn to Slide 16. In contrast to the broad sector-wide dry bulk volume growth seen in 2024, Clarkson's latest forecast presents differing outlook with projections for coal and iron ore remaining subdued, while minor bulk and grains, particularly soybean anticipated to continue their upward trajectory. With increased domestic coal production in both India and China and a global shift to renewable energy consumption, coal volumes are forecasted to decline by 6% in 2025. Iron ore volumes are expected to decrease 1% this year, but the outlook remains mixed. Key exporters, Australia and Brazil continue to ramp up exports. China's property downturn could be offset by investment in manufacturing and infrastructure. But overall, Chinese steel consumption is nevertheless expected to soften. Total minor bulk trade volumes are projected to grow by about 2% in '25 with increased -- increases anticipated for most commodities, but most notably for bauxite shipments from Guinea to China which should continue to tie up larger bulkers while some slitting of coal and grain cargoes into smaller bulkers is also expected. Cement and clinker volumes are expected to recover from last year's reduced levels and continue increasing through 2026, supported by growth in the housing and infrastructure sector of developing economies. Brazil's record soybean crop is replacing U.S. soybean volumes to China, which represents increased ton-mile demand. The robust soybean trade is expected to boost grain volumes and fertilizer imports. Please turn to Slide 17. The combined global fleet of Handysize and Supramax vessels is forecasted to grow 4.3% net in 2025 with newbuilding vessel deliveries accounting for 4.7% and scrapping at a minimum 0.4%. The order book currently stands at 10.4% of the combined Handysize and Supramax fleet, which is less than the 13% of ships that are 20 years or older. Contracting activity dropped over 70% year-on-year due to weaker market conditions in early 2025 and uncertainty related to the draft USTR plan for charges on Chinese-built ships. This may result in a supply squeeze in the coming years when emission regulations are expected to become more stringent and add pressure, especially to the aging fleet. Despite a short-term increase in supply, we are optimistic about our sector's long-term prospects due to balanced supply fundamentals. Please turn to Slide 18. The freight market has experienced an upswing in recent weeks after a weak start to the year. This improvement can be attributed to average vessel speeds remaining at historical low levels and ongoing congestion in certain trade areas such as East Coast Australia and the South Atlantic, which have collectively supported freight rates -- higher freight rates. Please turn to Slide 19. The ongoing conflict in the Middle East continues to drive shipping companies away from the area, causing ships to take longer, safer voyages, which add to ton mile demand and add support to the freight rates. We believe we are still some way from returning to normalized transit through the Suez Canal. Geopolitical disruption, increased environmental regulation and changing trading pattern causing congestion and longer ton mile collectively continue to reduce overall effective supply. Please turn to Slide 20. The scope of the latest draft USTR 301 plan is narrower than the initial proposal. It introduces 2 fee regimes, Annex I, which applies significant extra port charges on Chinese owned and operated Annex II, which supplies lower charges with certain exemptions on bulkers of 80,000 deadweight or more. The detailed final rules due to be implemented in October will depend on how USTR 301 and trade tariff negotiation between the U.S. and China unfold in the coming months. However, the proposed port charge could disproportionately impact our vessels and our overall financial performance. We have, therefore, been closely monitoring and preparing for these USTR 301 related developments and readying contingency plans to maintain our competitiveness in the changing trade and tariff landscape. Our ultimate objective is to ensure our ships can continue to service our global customers freely and competitively to and via all safe ports and countries, including the United States. Please turn to Slide 21. Despite the increased uncertainties resulting from geopolitical tensions and trade dispute this year, our industry continues to demonstrate resilience. Multiple disruptors in our market continue to reduce supply efficiencies such as congestions, lower speed and rerouting, which helps to absorb the supply pressure from increased newbuilding deliveries in our segment. China remains a key contributor to the stability and growth of our market through its role in diversifying from key importer of coal and iron ore to export engine of certain commodities such as steel and fertilizers. Meanwhile, the IMF has raised its latest forecast for world and Chinese GDP growth, citing reduced risk for trade tensions and better financial conditions, indicating an expected improvement in the short-term macroeconomic outlook. Dry bulk cargo volumes are expected to continue recovering in the second half of 2024, supported by increased shipment of iron ore and soybeans. Over the longer term, factors such as rising population and income level in developing economies are expected to positively influence the minor bulk trade, particularly in construction material, fertilizer and agri bulk. Although dry bulk and minor bulk demand projections for 2025 are lower than net fleet growth forecast, long-term supply fundamentals are expected to remain balanced due to a manageable order book and anticipated increase in scrapping and slow steaming resulting from more emission regulation in the industry. Please turn to Slide 23. Expanding our business remains an ongoing priority, but we continue to exercise prudent discipline in renewing and growing our fleet. We recognize the disparity between present freight market conditions and vessel values, which despite fluctuations have mostly remained high since 2021. Our core business vessel days and operating activity days have increased over the past few years, reaching 36,250 days in the first half of '25, which reflect a consolidated average growth rate of 3% from 2021 to 2025. So far in 2025, we have sold 4 Handysize and 2 Supramax vessels, and we exercised purchase options on 3 Handysize vessels which were delivered from our long-term charter fleet into our own fleet, while taking delivery of 1 long-term chartered Handysize newbuilding of 40,000 deadweight and a 1 long-term chartered Ultramax Newbuilding of 64,000 deadweight. For the rest of 2025, we still have 1 declarable purchase option and 1 Ultramax long-term charter newbuilding of 64,000 deadweight to be delivered into our core fleet. And looking ahead, we have a total of 13 purchase options declarable while we are expecting 1 Ultramax and 1 Handysize long-term charter newbuildings as well as our 4 low-emission dual-fuel methanol Ultramax Newbuildings to join our core fleet over the coming years. Our strategy will remain focused on maximizing optionality in fleet renewal and growth as we continue to sell older vessels that may face operational challenges under the forthcoming regulations while also taking advantage of market opportunities to continue to grow our fleet. Please turn to Slide 24. In April, the IMO approved a 2-tier global fuel standard with economic elements, essentially fossil fuel penalties and green fuel subsidies designed to drive a phased reduction in greenhouse gas intensity of fuels used. Subject to the standard being adopted or which is scheduled for October -- for mid-October, the measures are expected to enter into force by 2027 and drive the gradual adoption of green fuels to meet yearly well-to-wake targets and ultimately achieve the industry's goal of net zero emissions by around 2050. The global fuel standard, assuming it's successfully adopted in a couple of months, strengthen the case for our investments in dual fuel LEV newbuildings delivering in 2028 and '29 and further justifies the current dual fuel cost premium for the LEV newbuildings that they have over conventional fueled vessels. Please turn to Slide 25. As the regulatory landscape continues to evolve, we remain confident in our progress towards decarbonization through focused initiatives and strategic investments in LEVs, green fuel sourcing and energy efficiency efforts. These will ensure our fleet ongoing compliance with increasingly stringent regulation, support our target of green fuel compromising 5% of our fuel mix by 2030 and ultimately facilitate our fleet's transition to net zero emission by 2050. As you know, last November, we ordered 4 Ultramax dual fuel LEVs able to run on methanol as well as biodiesel and conventional fuel oil. At the time, we also signed an MOU with Mitsui for -- as a first step to secure access to green methanol for LEVs. And in June 2025, we entered into another MOU with Towngas to formalize another source of certified green methanol from a key player in China in China's emerging and world-leading green fuel use market. Looking ahead, we are now evaluating Handysize newbuilding designs and engaging closely with shipyards that are capable of building such vessel, positioning ourselves for investments in more LEVs when the time is right. With our sector-leading experienced team and solid financial position and liquidity, we are well-equipped to navigate changing market conditions and increasingly challenging decarbonization regulation with agility and resilience while maintaining our focus on maximizing shareholder value and growth optionality. Here, I would like to wrap up with acknowledgment of our colleagues at Mitsui and [indiscernible], who I thank for their contribution to our resilience in the face of recent and ongoing industry challenges and to our performance during the period. I also thank our shareholders, business partners and all our stakeholders for their continued interest in and support of our company. This concludes our 2025 interim results presentation. I will now hand over the call to our operator for Q&A.
Operator: [Operator Instructions] We will take our first question from Nathan Gee.
Nathan Gee: Maybe a couple of questions from me. Firstly, just in terms of market and outlook, I just want to confirm some of your comments around demand. So, do you think the down cycle in dry bulk is actually easing with some of the worst from demand passing? And also, I just want to touch on 2026, given we're in August now. Clarkson is calling for another oversupplied year next year. Do you see the same? So that's the first question. Second question, just in terms of shareholder returns. So maybe a question for Jimmy. So given this net cash build, do you think there's scope for maybe some tweaks to shareholder return policy, perhaps some special dividends? And then thirdly, just a technical question, just in terms of freight tax reversals. I just want to confirm no reversals this 4Q.
Martin Fruergaard: Yes. Thank you very much, Nathan. If I start with the first 2 questions in respect to -- I guess you're asking, where are we on the cycle and also how does it look for 2026? And these, of course, good questions. I wish I could answer them. I think maybe breaking it up in 2. I think if we look at sort of the market supply/demand on the cargo side of it, it's quite obvious that it's not a demand-driven market we have at the moment. It's probably more supply squeezed market. And I think we -- the last couple of years have been talking about this. It's more and more obvious that the supply side of it is getting squeezed because of all these disruptions and things that's happening in the world. And I think the last 24 months, it has not been less. There's just more and more of it coming. I think that's, of course, very helpful in the market. And you can say today that when you look at the FFA market today, I think Ultramax is around 600 deadweight is around $17,000. I don't think I would have guessed that if you asked me 6 months ago when you look at -- if you step back and look at the supply- demand situation at that time, also the Clarkson s data. But it just shows again that -- and also I think the world economy is probably doing a little bit better now. And I think it's very hard to say are we sort of China on the way out of their crisis or whatever you want to call it 5% growth. But the data we get and the information we get gets more and more positive about these things. And of course, we see the trading pattern changing somewhat. China is also becoming now an exporter of minor bulk products, which is very helpful for us. And of course, we see the change because of the tariffs where Brazil is now supplying China and it's about a 15% longer ton mile. And I can keep going on all these things. So I think fundamentally, for this year, it looks actually quite good in that sense. And when I talk to our commercial people, they're quite positive actually about the market for that. Then if I look at '26 -- so -- and you asked me on the cycle part of it, I would say if you look at on the ship side, I mean, the values of the ship, they are holding up quite well. We don't really see any -- a little bit up and down, but no real reduction in asset values. I think newbuilding price is probably down 2%, 3% from last year and so on. But of course, the new ordering is very little and so on. But -- but it doesn't look like it's about to collapse in any way. And I think when you look at 2026, it's a little bit the same picture. It looks like, again, a little bit less supply next year compared to this year, but still more supply than demand. But on the other hand, I would still have to say that all these disruptors, they will impact it. And if you ask me on the cycle thing, I think -- let's see how things are going, but it seems like many countries are actually doing a little bit better, also may be better than expected when we started the year and when all the tariffs were implemented and these things. So I think we are getting increasingly positive about it. But looking purely specifically at supply/demand also for next year, it doesn't look -- it looks a little bit under pressure as well. But after that also, when you look at the supply that comes out and you look at the age profile and the green regulation coming into, we are getting increasingly positive on that side. That's a long answer. Jimmy?
Chi Kit Ng: Yes. Thanks, Nathan, for your questions. I'll answer the second question first in terms of shareholder return. Our policy is to distribute 50% of our net income before vessel disposal gain. And if you look at the first half, as we mentioned in our presentation earlier, if you count both the interim dividend that was proposed and also the share buyback that we have conducted in the first half, we already distributed 153% of the net income before disposal gain. In the first half, we completed half of the 2025 share buyback program. And in the second half, we will continue to do it subject to market conditions. So we do have the tools to increase our return of capital to shareholders. And this is something that the Board will look at subject to the actual performance of the second half. But of course, we need to be conscious of having the flexibility to execute our growth plan as well when we look at the -- our overall financial position. So that's not too short answer to your second question. The third question in terms of tax reversal, quick answer is no, there's no more.
Operator: We'll take our next question from Parash Jain.
Parash Jain: Can you hear me?
Martin Fruergaard: Yes, we can hear you, Parash.
Parash Jain: If I may ask 4 questions. First of all, with respect to USTR, what is -- what's the base in that we are working along? Do we expect further rewarding of USTR going into October between China and U.S. trade talk? And is the expectation is that it will be lifted up? And if not, what's Pacific Basin's way of dealing with it either withdrawing from the U.S. or pass on the cost to the customer? Secondly, with the optionality of buying vessels on that slide, how should we think about CapEx in the second half of this year going into next year? And last, Martin, actually, in one of your slides, in fact, the 10-year Handysize vessel prices have started to go up since the start of this year. Maybe what explains them if we look at the freight rate in the first half were not that encouraging. And is it brings down to the fact that rising congestion around the world is absorbing a lot of those vessels, and we are seeing an upliftment in the freight rate, particularly in the last 6 weeks or so?
Martin Fruergaard: Yes. I'm just writing down here, see if I can remember the question. If we start with the USTR, I think -- first of all, I have to say that, of course, our job and our objective is, of course, that all our ships can continue to service our global customers freely and perpet to all ports and countries, including the U.S. So just to sort of say that fundamentally, that's what we want, and that's what we need, and that's what's important for us to be able to service the customers that we have today, which is sort of part of the network we are doing and these things and also, I think our customers expect us to do so. We are, of course, fully updated on how the USTR regulation is written. And of course, we are very closely monitoring the development and of course, following the trade tariff negotiations between U.S. and China, which is ongoing here in August. If you ask me if I believe that the rules is going to change or something like that, I simply can't answer that question. I think we've seen other things that things have changed and are being pushed in these things. But I think we are preparing ourselves. We have our contingency plans, and we know what we have to do to mitigate, and we are ready to do that, and we are planning for that. And if there's any change coming, then we will guide for that as well and work on that part. I can't share with you exactly what we're going to do. I think it's important for us to follow the rules and see how they end up. And then, of course, we will immediately share with you what we are doing to meet it. Things can change so rapidly in this world. So, we want to make any speculation in these things. But of course, we are following this very, very closely, and we are fully aware of what the rules and regulations they are. In respect to buying vessels, we have still -- we have declared a few more options that those ships will be delivered. I think we have one more option declarable, which I think we have declared as well. So, we have one more ship that is not touched upon in this that we will declare and get delivered in it. We still -- even though our share price, of course, has improved quite a bit, we're still trading at a discount. So, I think it's a little bit on the secondhand value. It's probably a little bit difficult to justify buying. Even though the market has come up quite high right now, which is nice and great and really positive for us for earnings the rest of the year, first half earnings, of course, in the general market was not very impressive. So, it's a little bit hard still now to believe that going and buying secondhand ships are positive. I think we also like to see the outcome of the IMO meeting in October just to make sure we have the full picture before we sort of maybe step in and do more of that part of it. But I would also, on the other hand, say we are ready, Parash. We look at our balance sheet, look at our performance, look at our costs. We spend money on digitalization. We are ready to grow the company. We just have to make sure we get the timing right and we do the right thing in the cycle. And also, that we know the IMO regulation, but that we do the right things and maybe it's a combination of different things when we do it. So, we are -- we have been super patient, and we will continue to be patient to make sure we do the right thing for the company and for our shareholders in that respect. And I think we also rolled earlier M&A could also be an opportunity for us in that part if there's some good opportunities coming up. And you're correct in the sense -- I think sometimes the graph when you look at the prices of the ships, yes, it's probably more trending in it. But it's true that the asset values have actually maintained very well I think that's a little bit illogical when you look at the rates and these things. I do actually think that all the noise from USTR and other regulation in respect to Chinese build ships have actually resulted in, of course, first of all, a lot less ordering in China, but also that at least ships of Japanese or other places have been attractive. We have been selling some of ours, and I think we have got very good prices for those ships. So, I think there's a little bit of that into it -- it's probably not all ships, but ships of -- there's some uncertainty going on in the market at the moment with respect to the regulation as well. And I think that's also putting -- holding a hand under the asset values. And then a little bit also back to Nathan's question. I think the -- you can hear now people start talking about where are we in the cycle? Are we nearing the bottom is? When is the next upturn coming? So you feel a little bit that people say, well, maybe we are so far into this, maybe hold on, wait and see. And of course, most owners today have a healthy balance sheet. And of course, nobody is forced to do anything on that part. And again, replacement cost, Parash, if you want to replace the ship by buying a new one, that's probably going to be even more expensive. All these things, of course, comes into it. Maybe the last one to say is that the world has started now ordering feeder ships -- feeder container ships these are basically the same size as our ships that they are built at the same yards as where we build Handys and Ultras. So that's, of course, also taking capacity out for building our kinds of ships in that market. And I think the rush to get -- you probably know better than I, but the rush to get feeder ships for the container companies is enormous at the moment. And that I think also puts a hand on the newbuilding prices. And again, that filters down to modern well-built secondhand ships as well.
Parash Jain: Also, Martin, can you help us understand like the congestion situation around Atlantic that you mentioned in your opening remarks. Where are the bottlenecks? How is it trending? What is causing that?
Martin Fruergaard: Yes. Well, the cause of it is -- the way the world works now that where we so quickly changed supply chains. If you go from U.S. to China, then suddenly, it has to go somewhere else. And it's quite big volumes actually. And I don't think any of these ports are actually built for suddenly having to do so much more cargo. So of course, this will cause congestions and disruptions in those ports. So basically, very much for the grain and soybean out of Brazil and of course, South America, that there is congestion in that area. Also in West Africa, we also hear about congestion situation. And I think East Australia as well, which I actually don't understand. I don't know if it's because of weather or I think it's mainly because of weather I understand that there's also congestion in that area. So it's basically -- it's not congestion in China in this space. It's actually now it's a new place for congestion. And again, it just shows how difficult it is to predict the market. On top of that, also driving the market a little bit is that the normal movement of ships between the Atlantic and Pacific is also changing. So it's actually quite hard to get ships moved back to the Pacific and Atlantic. So that also brings us -- it's very much the Atlantic market that is the main driver of the rates at the moment. But that's, of course, also lifting up the Pacific market.
Parash Jain: And have I missed like the CapEx guidance for this year and next in terms of dollar?
Chi Kit Ng: Yes, sure. So we mentioned there would be a one declarable purchase option we mentioned earlier in the presentation. So the amount will be about $20 million. And we would expect we would have some dry dockings in the second half that would amount to around $45 million. So these would be the main projected items at the moment. But of course, the other items is very much subject to the market conditions.
Operator: [Operator Instructions] We have an online question. Can you comment on your current coverage percentage for the rest of the year? And are they mainly front haul or there is still a portion of backhaul?
Martin Fruergaard: Yes. Thank you for that question. Yes, as always, when we do these things, we are in the early parts of August. Of course, our third quarter cover is quite high because we are fixing the ships forward in that sense that there's nothing unnatural in that part of it. But I think when you look at our cover for third quarter and you look at the time charter level for that cover, it is actually higher than the FFA market at the moment. So I think we are actually in a good position on that part of it. And on top of that, about 1/3 is backhaul cargoes on it, of course, there's also room for some improvements in the earnings for that if the team can optimize the business a little bit further. We have somewhat less cover for fourth quarter, especially on the Handysizes, which is down to 26%, whereas our Supras are at 43%. So there's room to take a little bit of advantage of the current market levels. And of course, we are long ships, especially when you come into 2026. So a good market as we have it today will also enable us to take hopefully a good position for early next year as we also did this year.
Operator: As there are no further questions, we will now begin closing remarks. Please go ahead, Mr. Martin Fruergaard.
Martin Fruergaard: Thank you very much. I'd like to thank you again for joining us today and for your continued support to Pacific Basin. If you have any further questions, please contact Cameron Ip from our Investor Relations department. Thank you, and goodbye.
Operator: This concludes today's call. Thank you for attending.